Operator: Good morning, ladies and gentlemen, and welcome to Church & Dwight's Third Quarter 2025 Earnings Conference Call. Before we begin, I have been asked to remind you that on this call, the company's management may make forward-looking statements regarding, among other things, the company's financial objectives and forecasts. These statements are subject to risks and uncertainties and other factors that are described in detail in the company's SEC filings. I would now like to introduce your host for today's call, Mr. Rick Dierker, President and Chief Executive Officer of Church & Dwight. Please go ahead, sir.
Richard Dierker: All right. Thank you. Good morning, everyone. Thanks for joining the call. I'll begin with some thoughts on the macro environment and then a review of our great Q3 results. Then I'll turn the call over to Lee McChesney, our CFO. And then when Lee is done, we'll open it up for questions. Starting with the broader environment, conditions remain volatile and the consumer backdrop remains mixed. Promotional intensity is elevated in some categories and household finances are stretched as high borrowing cost and delinquencies weigh on discretionary spending, including big-ticket items like cars and housing. However, there is relatively low unemployment and higher priced personal care categories continue to do well. Against that mixed backdrop, our categories are growing at around 2%, which was pretty consistent with what happened in Q2 as well. We're performing better than that because of our great brands. Our portfolio with its balance of value and premium offerings continue to gain both dollar and volume share. Our innovation is performing well and all in all, our brands are made for environments like this. On to the Q3 results, we had a fantastic quarter in a tough environment. Organic sales grew 3.4%, exceeding our outlook of 1% to 2%. Adjusted gross margin was up 10 basis points, also exceeding our outlook. Adjusted EPS was $0.81, which was $0.09 higher than our $0.72 outlook. Lee will take you through the rest of the numbers shortly. But first, some highlights about our brands. In July, we closed our recent acquisition, TOUCHLAND. TOUCHLAND is the fastest-growing brand in the hand sanitizer category in the U.S. It's the #2 hand sanitizer in the category with household penetration just under 7% and the category at 42%, indicating a lot of runway for growth. TOUCHLAND experienced strong growth in Q3, with consumption growing double digits and results exceeded our initial expectations. I'm even more optimistic about TOUCHLAND today than even a few months ago, a small but mighty team doing great things. Now I'm going to turn my comments to each of the 3 divisions. First up is the U.S. consumer business. Organic sales increased 2.3% with volume growth of 3.7% being partially offset by 1.4% of price mix. Growth was led by THERABREATH mouthwash products, ARM & HAMMER cat Litter and TROJAN condoms, partially offset by declines in the vitamin business and WATERPIK water flossers. We grew share in 4 of our 8 power brands, specifically ARM & HAMMER, THERABREATH, HERO and TOUCHLAND. Let me provide a bit of color for a few of our important categories. I'd like to start off with the ARM & HAMMER brand in general. Consumers today want stability and brands they can trust. Our new campaign give it the whole darn arm reinforces the brand strength and reliability. This is driving growth across the portfolio. 5 of the 6 categories we compete in with ARM & HAMMER are growing share on a year-to-date basis. Turning to laundry detergent, ARM & HAMMER liquid laundry detergent consumption grew 1.9% in contrast to a flat category. ARM & HAMMER share in the quarter reached 15%. Beyond share and more importantly, household penetration for the long term continues to matter. And in the quarter, ARM & HAMMER laundry expanded household penetration 0.7 points to an all-time high of 30%. In fact, the only tier of laundry detergent that was positive consumption in the quarter was the value tier. This is a fun of the times as value was flat to declining in the previous 8 quarters, this is especially impressive as our actual promotional spending for laundry was lower year-over-year. Moving to Litter, ARM & HAMMER litter consumption grew 5.3%, while the category was up 5%. We saw heightened competitive promotions, especially in the lightweight segment by 1 competitor. Over to mouthwash, THERABREATH continues to perform extremely well, while the mouthwash category was down in Q3, THERABREATH consumption grew 17%, and continues to be the #2 mouthwash with a 21.8% share. Remember, we believe there's a lot of runway here. Our household penetration for THERABREATH currently sits at 11% versus the category of 65%. HERO once again outpaced the category with consumption growth of 5.2% compared to a flat acne category and remains the #1 brand in acne care with a 23.6% share. And like the THERABREATH story, we believe household penetration growth is key for this brand. It sits at 9% versus the category of 28%. Looking ahead, we're excited about our pipeline of new products. We even announced a few today. They're a key driver of our success. THERABREATH is introducing a new line of toothpaste. We launched online with 3 variants in August, and they target key consumer needs of healthy gums, deep cleaning and whitening all combined with long-lasting fresh breath. The brand's loyal users value its effective cleaning is distinctive fresh but not overpowering taste and we have a retail launch set for January 2026. We're very encouraged with the high-quality consumer reviews were seen. Meanwhile, TROJAN, the #1 condom brand in the U.S. launched TROJAN G.O.A.T., Greatest of All TROJAN, which is a nonlatex condom featuring patent-pending Ultra Flex material that's soft, flexible, odorless and colorless designed to enhance body heat transfer to deliver next-level intimacy. Turning to international. Our national business delivered sales growth of 8.4% in the quarter. Organic increased 7.7% due to a combination of higher volume price and mix. Growth was led by the HERO, THERABREATH and BATISTE brands and was broad-based across many of our international markets. I was just in Argentina 2 weeks ago with our Global Markets Group and distributor partners, and there is a lot of excitement for the future. Finally, SPD organic sales increased 4.2% due to a combination of higher price and product mix and volume. We continue to be excited about the growth opportunities in this business. As noted previously, we're undertaking a strategic review of our vitamin business, including streamlining our supply chain to strengthen the core business, new JV partnership opportunities and divestiture options. We're seeking -- we're seeing improved velocities in the core and line reviews are receiving positive retailer feedback on new products and long-term brand strategy. We continue to expect to reach a conclusion from this review by the end of 2025. Looking ahead, our full year organic growth outlook is 1%, the midpoint of our prior range. We expect full year adjusted EPS growth for 2025 to now be $3.49 or $0.02 higher than our previous outlook to the higher sales and improved margins, including higher marketing spend. As in past years, when we have stronger-than-expected business performance, we invest for the future. So we now expect marketing as a percentage of sales to exceed 11%, and these investments will continue our momentum into 2026. I'll close by saying that category consumption remains stable and our brands remain in a position of strength. We're gaining dollar and volume share across key segments of the portfolio, supported by a balanced mix of value and premium offerings. We're well positioned to navigate the current environment. The strategic actions we're executing will set us up for sustained success. Our go-forward portfolio has never been stronger. At the same time, we remain active in evaluating the right acquisition opportunities to further build our business. I'm excited to speak at Investor Day in January about some of the growth initiatives we have in development. With that, I'd like to close by thanking all of the Church & Dwight employees for executing well in a volatile environment. And now I'll hand the call over to Lee for more detail on the quarter.
Lee McChesney: Thank you, Rick, and good day to everyone on this Halloween Friday. Our Church & Dwight team members across the globe delivered a quarter to be proud of that highlights once against the many strengths of our portfolio and our team's capabilities. Let's jump into the third quarter and our outlook. We'll start with EPS. Third quarter adjusted EPS was $0.81, up 2.5% from the prior year. The $0.81 was better than our $0.72 outlook, driven by higher volume and gross margin results favorable to our outlook. Reported revenue was up 5% and organic sales were up 3.4%. The organic sales was broad-based across the globe with volume growth of 4%, partially offset by negative pricing and mix of 0.6%. And beyond organic results, we were delighted with the encouraging start of TOUCHLAND as sales exceeded our initial projections. Our third quarter adjusted gross margin was 45.1%, a 10 basis point increase from a year ago and 110 basis points better than our outlook. Our results versus last year were driven by 170 basis points from productivity programs, 20 basis points from higher margin acquisitions 10 basis points from FX and 10 basis points from the combination of volume, price and mix. These factors offset 200 basis points of inflation and tariff costs. Moving to marketing. Our marketing expense as a percentage of sales was 12.8% or 50 basis points higher than the third quarter of last year. And for the year, we are now targeting to exceed 11% of net sales as we leverage our improved sales growth to invest for the future. Q3 adjusted SG&A increased 20 basis points year-over-year. Adjusted other expense increased by $3.9 million due to the lower interest income compared to last year. And we continue to expect other expense for the full year to be approximately $65 million on an adjusted basis, reflecting the lower interest income following the TOUCHLAND acquisition. In 3Q, our adjusted tax rate was 21.6% compared to 23.3% in Q3 of '24, a 170 basis point year-over-year decrease. And the expected adjusted effective tax rate for the year is now 22.5%. And now to cash, we delivered strong cash results in the quarter as cash flow from operations increased 19.6% versus last year to $435.5 million. Capital expenditures for the first 9 months were $67.2 million, a $58 million decrease from the prior year due to return to normalized capital spending in 2025. And finally, in the third quarter, the company repurchased an additional $300 million of shares, which brings our year-to-date share repurchases up to $600 million for our shareholders, certainly a third quarter full of accomplishments. Let's now turn to our outlook. Broadly, we continue to navigate well in an environment of economic uncertainty and as a result, have improved our outlook in several areas. For the year, we now expect reported sales growth of approximately 1.5% versus a prior year midpoint view of 1.0 as we expect TOUCHLAND's momentum to continue in the fourth quarter. We also remain on track to deliver 2025 organic growth of approximately 1%, the midpoint of our previous outlook, and we now expect full year gross mention to contract only 40 basis points versus 2024 based on the progress our teams are delivering from productivity programs to counter inflation and tariff headwinds. And as I noted earlier, the combination of a stronger sales and gross margin outlook allows us to increase our marketing investments beyond our prior outlook in 2025. For the year, we now expect an adjusted EPS of $3.49, which exceeds the midpoint of our prior outlook. And specifically for 4Q, we now expect reported sales growth of approximately 3.5% and an organic sales growth of approximately 1.5%. In 4Q, I note that our reported sales outlook include larger decline in sales from our discontinued businesses as these product lines run out of inventory. And for some context, we expect $30 million of lower sales or 200 basis points of drag in the fourth quarter versus last year from these discontinued businesses. And also note that our organic growth for 4Q was impacted by the prior year port strike and the negative consumption trends in our VMS business. In 4Q, our adjusted gross margin will contract approximately 50 basis points primarily from inflation and tariff costs. Marketing will be lower compared to last year. We expect an adjusted EPS of $0.83 per share, which is an increase of 8% versus last year's adjusted EPS. In my final '25 comment, the outlook really covers cash flow from operations. As noted in our press release, we've increased our outlook from $1.1 billion to $1.2 billion in consideration of our progress on several fronts. As our teams look forward, we are optimistic our teams across the globe have delivered significant accomplishments. We continue to fuel share gains. We've made strategic choices to exit brands in our portfolio. We've acquired TOUCHLAND, which is off to a great start, and we've returned $600 million to our shareholders through share repurchases. A big thank you to our employees across the globe for leaning forward and executing through the first 3 quarters of the year. Very well done. Eric, let's move to Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Chris Carey with Wells Fargo Securities.
Christopher Carey: So TOUCHLAND is coming through better than expected, which is great to see. Can you talk about how you might view the benefits of TOUCHLAND going into 2026. And specifically, how might the positive contribution from TOUCHLAND help offset any of the potential profit outcomes you could envision from actions you may take on the vitamin business? And I have a follow-up.
Richard Dierker: Yes. I mean we're going to -- I guess the first thing is you're right. TOUCHLAND is doing fantastic, even better than we expected, better than our double-digit comment last quarter. Consumption is strong, units per store per week are really strong, innovation is strong, collaborations are strong. I'm not going to really talk too much about 2026 at this point. And I would just say 2025 is doing better than we expected. It means that there's going to be a stronger baseline and as we grow that, of course, will help offset anything from the discontinued businesses or potentially anything with vitamins as well.
Lee McChesney: And Chris, one thing I would note just do keep in mind, we had a good amount of cash on our books, we are earning interest on. And obviously, that will be a little bit of a headwind versus touch lend next year as well.
Christopher Carey: Okay. The follow-up is just on the competitive environment picking up a bit. I think you mentioned that your laundry promotional activity was actually down a bit relative to last year, just to confirm that. And in general, how would you view the competitive backdrop right now and your potential need to respond, any activity that you're seeing? And maybe just a level of confidence that the really strong volume share performance that you've been delivering is sustainable and what might be needed to sustain that level of execution? Obviously, you have -- you kind of teased innovation plans for next year, but also just the potential level of brand support.
Richard Dierker: Yes. Thanks, Chris. Yes, for laundry, in my prepared comments, I said it, and I think it's such an impactful statement. For the first time in 8 quarters, the value tier of laundry grew, and that was -- if you look year-over-year on amounts sold on deal, which again, remember that's depth and frequency. That is -- we were down 400 basis points year-over-year. Our competition was up between 300 and 600 basis points depending on what brand. So I believe that is a trend that's starting to happen in the category as consumers are pressed. They're kind of solely moving to value, which is great. That is one piece of it. Another indication is even the pods category, which is around 23% of the category, it's the most expensive form of water detergent, right, 2x liquid that's been flat the category for the last 6 quarters. So those are just indications that the value matters. And so if promotional intensity does pick up, I think, overall, we're in a great spot. Value is doing well. And even some of our higher-priced competitors, they're twice the cost of our laundry detergent. So they would have to do massive discounts to move any elasticity. So again, I think we're well positioned. I think this is starting to be a little bit of a trend in the category for consumers seeking value.
Operator: Your next question comes from the line of Peter Grom with UBS.
Peter Grom: [indiscernible]
Richard Dierker: You're breaking up a little bit. Not really.
Lee McChesney: You try to reconnect and we'll make sure you get back in.
Operator: Your next question comes from the line of Rupesh Parikh with Oppenheimer.
Rupesh Parikh: So I guess just going to international, another strong quarter even on a difficult comparison. So just curious, are you guys seeing any changes there, macro consumer-wise? And how do you feel about sustaining momentum in the International segment for the balance of the year?
Richard Dierker: Yes. As I said, I was just in Argentina a couple of weeks ago with 300-plus people, and there's a ton of excitement about our brands and the growth profile of some of our -- even our new brands like THERABREATH and HERO and TOUCHLAND. So even as the macro GDP starts to slow in some of these countries, the tailwind of these brands, which bring problem solution brands, innovation, new categories, lot of excitement to continue to deliver against our really our evergreen model for international. So a lot of momentum in our international business.
Rupesh Parikh: Great. And then maybe just one quick follow-up. Share buybacks, again, another quarter of significant buybacks. Your stock has obviously pulled back. So does anything change in terms of your priorities share buybacks versus M&A? Or should we just expect you continue to be opportunistic based on what your stock does?
Lee McChesney: Yes. So good question. So to your point, we definitely took advantage of the value opportunity there. We typically try to just -- you know what our priorities are. We want to focus on M&A. This is our #1 focus of our cash. And we're out in the market accordingly. But if any opportunities come up to maybe accelerate a little bit of our share buybacks, we'll do that. As we sit here today, we've done everything we've done with the $600 million. We bought TOUCHLAND. We got great cash flow, balance sheet is in a good place as we look forward. Rupesh, we're still focused on M&A. There's still opportunities out there. And we obviously have an opportunity to do M&A. I mean -- and we've just gone through a review, you just recently saw our shares, our treasury -- our balance sheet get upgraded as well. So I mean I just think on many fronts, we got a quality balance sheet, strong cash flow gives us a lot of optionality. So frankly, the potential to do both things.
Operator: Your next question comes from the line of Bonnie Herzog with Goldman Sachs. Please go ahead.
Bonnie Herzog: All right. I had a question on the promotional environment. Hoping just for some more color on that. And then your volume growth was quite strong in the quarter, but price/mix was slightly negative. So I guess just could you kind of drill down on what sort of drove that? Was it the higher promotions and the need for spending behind some of your brands? And if so, should we expect that to continue in Q4 and possibly next year?
Richard Dierker: Yes. Thanks, Bonnie. I would kind of characterize it as really when we talk about our promotions, we talked about laundry and Litter. I already went through the laundry category. Litter. Litter is a little unique right now as well. The category over a long period of time has bumped around between 16%, 18% sold on deal. It hit where we think is almost an all-time high at 24%. One competitor significantly discounted their lightweight litter business, and that's driving a couple of thousand points of promotion. We actually were pretty much consistent year-over-year. We were up slightly 60 basis points and still managed to grow 5%, which was -- which is fantastic. So our brand, our ARM & HAMMER brand, kind of what I said in my comments, we think the advertising and the halo effect, the seeking value is leading to ARM & HAMMER doing incredibly well in this environment and for the future. Then you look at negative price mix, part of that is some of our other businesses, right? We're doing, whether it's a rollback or price adjustments on BATISTE as we fix value for the consumer, or vitamin business to make sure that we have the right velocities. So not as much in the laundry and Litter business.
Bonnie Herzog: And if I may, I just wanted to ask a quick follow-up question on TOUCHLAND. Could you give us a sense of maybe how the brand has been performing in the different channels, DTC and then certainly at Sephora and then maybe talk a little bit more about your strategy to expand the brand in additional channels, and I don't know, possibly other specialty retail channels. Maybe how has that evolved since the transaction is closed?
Richard Dierker: Sure thing. TOUCHLAND, again, doing fantastically well. That business is really at 3 retailers, right? Sephora, Ulta and Amazon make up about 90% plus of that business. And we don't really have much plans in the short or medium term to change that strategy. We believe that there's prestige in being in that category. There's examples of brands that have been able to grow by hundreds of millions of dollars in that channel and expand to slightly adjacent categories over time. We think that's a good model. There will be some niche plays at other retailers. We're not ready to go through that yet. Maybe that's a good question for January. Internationally, we're really excited about growth behind TOUCHLAND. We believe that it can -- we're already seeing how fast it's growing in Canada as an example of just 1 retailer. So we're going to probably duplicate that approach across many more countries and make sure we hit the right channel, the right partner and to make sure that we keep that kind of cache of the brand.
Operator: Your next question comes from the line of Peter Grom with UBS.
Peter Grom: Any better now?
Richard Dierker: Great.
Peter Grom: All right. Let's run this back a little bit. So I guess I wanted -- 2 questions for me. So first, just on the implied step down in 4Q, and I appreciate the commentary around the port strikes and weaker VMS. But I would imagine some of that was contemplated as you were thinking about the back half of the year, which you mentioned is unchanged after a strong 2Q. So can you maybe just speak to why it steps down and would come in below the 2% category growth you mentioned?
Richard Dierker: Yes. I'll give you a couple of comments and then maybe Lee has something to add as well. I think the port strike is a reality, right? There was 1 week that was the categories were up 11%. So when you do that math, all of a sudden, October will be negative as an example for categories and for the brand. Vitamins, Q4 is a larger business seasonality for vitamins. So as consumptions going backwards there, even though we have some green shoots. That's just a little bit more of an impact. And then finally, I think we were probably a little conservative on our Q3 outlook, and we were very confident in the 2.5% for the back. We're very confident that over time, we're going to grow faster than categories. But we feel like Q4 and -- Q3 and Q4 together is a good number.
Lee McChesney: Yes. And again, I think just to Rick's point, we go back to what we said on August 1. Comfort in the 2.5% organic outlook. That's what we're still seeing today despite the macro doing what it's doing. That speaks to the categories, how we're performing. There's always pluses and minuses, but we're still sitting at that 2.5% organic and if you do think about 3Q to 4Q, just on a total sales perspective, I mentioned in my prepared remarks, we are running out these discontinued businesses, we're getting to the point now where that will be a bigger pressure point in the fourth quarter. So I noted that, that was kind of the $30 million or 200 basis points of drag. And then I think Rick covered very elegantly the organic piece. You adjust for that, we're right on track and certainly gives us this confidence for the fourth quarter, but certainly, as we look beyond that as well.
Richard Dierker: Yes. And that is partially the port strike. So we don't feel like that's a kind of roll forward as you look into 2026.
Peter Grom: Okay. That's super helpful. And then Rick, you've had some good perspectives on category growth for some time here. I wanted to get your views on kind of how you see category growth and your portfolio performing as we look out over the next 12 months or so? And then just maybe specifically on the top line, and I get we'll get official guidance in January. But do you need category growth to accelerate from 2% in order to hit your evergreen target?
Richard Dierker: Yes. So look, I think for a long time, we've been very clear on how categories are doing and how our brands are doing. And categories we heard some of the competition say 1.5% to 2%. For us, it's around 2%. And that's because, in my mind, we've been very picky about what categories we go into. Our categories are doing a little bit better than most, which is great. And our long-term track record over many, many years is around 3%, and we hope to get back there for categories for sure, at some point in time. Meanwhile, we're kind of planning that it's going to be around 2%. And so as you saw this quarter, we -- despite 2%, we grew faster than that. And it's because all the great work we're doing on innovation, on marketing, on driving share gains. So I'm not going to talk about 2026, I'll do that in January. But I would just say we've been growing faster than category growth.
Operator: Your next question comes from the line of Andrea Teixeira with JPMorgan.
Andrea Teixeira: I was just hoping, Rick, if you can kind of decompose a bit of the price mix. And then you mentioned you have obviously a good position in the value segment. But thinking as the consumer continues to see particularly in laundry, that value segment, how to think about the mix effect? And then just as a clarification on the FX going forward, I mean, this is something that is benefiting some of the companies like that moving in the other direction how to think about international finally getting those tailwinds as you go into 2026.
Richard Dierker: Yes, sure. I'll take the price mix and then Lee can take the currency question. So I said, I think it was to Bonnie, we do have a negative drag on price mix from our pricing and promotional actions on vitamins. We have a negative drag as we're fixing some value equations on BATISTE. Our share gaps are closing. We're making improvements, which is great. What is value. It's also innovations the cross-section of innovation and price. And so we're making adjustments as needed for BATISTE. And then it's also the consumer is value-seeking behavior, and that means larger sizes. And when you have larger sizes, that's also typically a little bit of a drag on price mix, whether that's in laundry or Litter. So those kind of 3 things really impact the price/mix line.
Lee McChesney: And I'll go from there. I mean -- and to Rick's point, also, I mean, it's a pretty nominal amount for us. I mean, I think the big call an organic is also just this continued momentum with volume growth really driving BATISTE there. On FX, in terms of international, I mean, I'd say this, the international team is doing a really nice job of growing. They're very much focused on margins. So yes, FX can be a pressure point, tariff inflation fee, and then we combat it. We combat it with productivity, with good -- with RGM practices. So yes, if FX turns out to be a little bit of favorable, that could be helpful. But if you look at that business, they've been growing and they've been doing a good job of also bringing gross margin forward as well. So if that happens, we'll take that as a positive.
Andrea Teixeira: And if I can -- this is super helpful, if I can just go back to Rick's comment on -- and thank you Lee on the FX. But Rick's comment on the pricing and promo back when you're saying promo has been technically benign for you and you're gaining share in particular in laundry, continue to gain share and your competitor has been increasing more promo. I understand that they also are kind of going into a more value proposition. Are you seeing any pressure on that most recent launch in liquid as you exit the quarter?
Richard Dierker: I wouldn't change any of my comments. I'd say in general, the value tier continues to do really well, like that's almost like a macro trend, more so than what any 1 competitor is or could do. And so that's why I believe that despite us going lower on promotions to have the value piece of the category expand is just a really good indication of that. And so that's the trend we're seeing. I expect it to continue.
Operator: Your next question comes from the line of Steve Powers with Deutsche Bank.
Stephen Robert Powers: Two questions, which, I guess, as I look at my notes, is kind of 3. So bear with me. Rick, on the first one, laundry, not to beat a dead horse, but just can you just help us square -- help me square the circle just a little bit more. There's definitely a narrative about the Church & Dwight has been more promotional through the third quarter. We've certainly seen price/mix dip negative, kind of accelerate negative in the quarter. So is it -- what explains that is the mix within your portfolio where you've been directing the promotion? Just any more color there and how that's likely to trend going forward, number one. And then on vitamins, you mentioned some green shoots. Could you just elaborate a bit more on what those are? And then just update us if you think you'll have kind of a more comprehensive outlook and business strategy around that segment come January?
Richard Dierker: Sure. Yes. The first one, price mix negative on laundry, there is no better metric to look at, the amount sold on deal. That's what we've been using for many, many years. And the reason we say that is that is the intersection again on depth and frequency, like it's really shows what's going on in market. So, all I can do is point you to the actual numbers that come out of whether you have Nielsen or Circana and we are down year-over-year in promotion, our competition is up anywhere between 300 and 600 basis points. When there's negative price mix in laundry, that can be a whole host of things. It could also be, again, as I said before, as consumers trade up to larger sizes, that mix impact can be a negative in that line. So that's kind of what I would -- I would say consistently. Number two, on vitamins, the green shoots. Two examples, I think one would be, it's kind of hard to say, but sometimes when you have consumption go backwards at a retailer, 20%, 25%, you think the world is ending. But some of that is discontinuations that have happened. So we have to lap some of that. But when you go look at the core SKUs, the ones that are remaining, they're declining at a much lower rate, which is always encouraging. The second one probably is a couple of food retailers are actually doing really well, and we've heard distribution gains there as well. So those are a couple of great shoots. On the strategy, it was the right thing to do to publicly announce this about a quarter ago. We've had even more interest externally as we look at different options. And then meanwhile, internally, we're focused on how we kind of have a plan B on our cost structure and rightsize that business. So I would say, by the end of the year, consistently, again, that we'll have more to say, and I'm optimistic.
Operator: Your next question comes from the line of Anna Lizzul with Bank of America.
Anna Lizzul: I have 2 parts to a question. First, I wanted to ask on retailer presence and pack size. We're continuing to hear from peers in your space about the movement of sales to club and online, which have seen better growth versus food, drug and mass. So I was curious if you could talk about this dynamic within your categories? And then secondly, on the M&A front, while you're still digesting TOUCHLAND, it has performed better than expected. And it's an interesting acquisition, given TOUCHLAND is in some of the specialty beauty stores like Sephora. You've done well in acquisitions the last few years in personal care. And I'm sure you'd like to get back to your more regular cadence of 1 tuck-in acquisition annually. So I was wondering if we should expect to continue to focus on personal care or maybe if you'd be willing to explore more in the adjacent duty space?
Richard Dierker: Yes, Anna, good questions. I think actually very similar questions to -- again, when I was in Argentina that our distributors were asking. I would say we're, again, very encouraged with TOUCHLAND, and you're right, a little bit more of a niche in terms of distribution and kind of go to market. From an M&A perspective, we're typically agnostic on what categories we go into. It could be household, it could be personal care has to be more like functional beauty, like we are not a beauty company. We can't perform. We don't have -- there's a lot of dead bodies on the road to trying to be a beauty company. We don't want to do that. We want to be right in the middle where there's a personal care/beauty component. We think there's a lot of goodness there. Problem solution, yet a mode of advertising and connection. So we're laser-focused on that. Our new President, Chuck is laser focused on that as well. Retailer pack size, not surprisingly, different channels are performing at different levels, right? The club class of trade is doing extremely well. We continue to have offerings in club. Our strategy internally is how do we make sure that that's always a proactive strategy and not a reactive strategy. They have to be on the forefront of pack sizes and innovation. But you also have to meet the consumer where they're at in different channels, like the drug channel or the dollar channel and have the right pack sizes and right price points. So it's not either/or, it's both, and we have to be good at both. And we've historically done that really well.
Operator: Your next question comes from the line of Filippo Falorni with Citi.
Filippo Falorni: Good morning, everyone. Two questions for me. One on the retailer inventory levels. Obviously, you had some destocking in the first half of the year. Did you see any impact in Q3 and you're assuming no impact in Q4? And then as you think about '26, should we think about the first half of the year having a particularly easy component retailer inventory, so maybe faster growth in the first half? I know you haven't given guidance, but just a high level how to think about it. And then the second question on the margins. Can you review the drivers of the lower tariff guidance? And maybe if you can give some color also on the broader commodity outlook?
Lee McChesney: All right. Okay. Let's try a couple of questions in there. So on the retailer inventory side, to your point, beginning of the year, we had some pressure points there about 300 basis points in the first quarter, maybe 100 basis points of pressure in 2Q. Not really seeing that we're seeing kind of stable levels here in the back half. That's what we experienced in the third quarter, and that's what we're kind of expecting as we go forward here. All -- I'll say a balanced place. We'll watch it closely. In terms of moving on to tariffs and commodities and things like that, let's go back. We've made a lot of progress on tariffs. So if we go back to April, we're looking at a bill, it could have been as high as $190 million. We quickly rallied the organization around that. We made some tough strategic decisions, but we've also really focused on what can we do about it? And additional productivity, the targeted pricing actions. We've now moved that down to what essentially is a $25 million, 12-month number. And we released back on August 1, that number was about 60 in it's moved really threefold. This move because we've driven more actions around the globe in terms of whether it's negotiations, movements, anything in the supply chain side. There's been -- there has been some targeted pricing and then, frankly, the rates change. But that puts us in a really good place as we noted in the release, as we kind of look forward to 2026, we should be able to just have an environment of, I'll say, normal commodity inflation and tariffs should not be a drag. It could actually turn out to be an opportunity. Commodities have still been sticky. You would stay here today with what our commodity view was for the year. It's still slightly up from what it was in the beginning of the year. I think as we look forward, we're kind of expecting more of the same, but we'll leave the rest of the '26 commentary until later.
Operator: Your next question comes from the line of Olivia Tong with Raymond James.
Olivia Tong Cheang: First, just a clarification. I assume there wasn't any pull forward from Q3 to Q4 or any other change in timing that helped contribute to the top line upside this quarter?
Lee McChesney: No.
Olivia Tong Cheang: Perfect. Very easy. And then just thinking about it a different way in terms of laundry. Given the strength there and obviously, consumer desire for value, how do you think about the options that are in front of you? Clearly, you've done very well in the category. You've driven greater profitability in the category. Is there -- as you think about the options in front of you, is there a thought around potentially being more aggressive on price or things for those consumers who are struggling potentially looking at it from a share perspective, given the opportunity that you have in front of you and the fact that gross margins have actually shown some pretty nice upside?
Richard Dierker: Yes. I mean for laundry, I think -- look, the promotional levels, plus or minus, are going to be what they are and will always be competitive. I think overall, the medium to long term, we love where we are in the intersection of value. That's fantastic. Innovation is always the reason why we perform well over a long period of time, right? We're at a 15 or so share these days. We're in 30% of households lead in wash loads. Look, there's a reason for that. We're right there at value and innovation. So our deep clean innovation, while our most expensive form of ARM & HAMMER is still 70% the price of premium laundry detergent. And so innovation matters. We're going to have some more laundry innovation next year. And so that's why, over a long period of time, we've been able to grow our business.
Operator: Your next question comes from the line of Javier Escalante with Evercore ISI.
Javier Escalante Manzo: High-level question from me. Why do you think that the broader personal care sector is premiumizing in an environment like this? THERABREATH, HERO continue doing great, compounding. There is no port strike impact for them. Why is that? Is it differences in channel? Are these different consumer sets? Is because there is legacy brands from which you can gain market share? Anything that you can tell us to explain what's happening and what does it mean for your future growth into 2026.
Richard Dierker: Yes, it's a good question, Javier. It's never 1 thing, right? It's always -- it's a few different things, in my opinion. I believe it's -- these are great problem solution brands, right? THERABREATH really works for bad breath. However, it's also appeals to the young and old consumer, great packaging, great story, great social media presence. HERO, it's a problem solution brand. It really works. It's the best performing acne patch out there. And TOUCHLAND, it really works and premiumizes kind of a tired old category with fragrance and scent on-the-go convenience. So I would say there's a problem solution aspect to it. There's a great branding aspect to it. There's some of the competition in those categories isn't -- it's been around for a really long time, isn't as new and fresh, I would say. So it's not just one thing. It's multiple things. That's why we believe at the end of the day that there's a lot of opportunity in those 3 businesses, right? And I said in my prepared remarks, household penetration for HERO 9%, category 28%; for THERABREATH 11%, category 65%; TOUCHLAND 7%, category 42%. And that's why we keep getting TDP growth as well. So again, it's a mix of all those things.
Operator: Your next question comes from the line of Lauren Lieberman with Barclays.
Lauren Lieberman: Just 1 thing I want to talk about was couponing and just how much couponing is currently part of your strategy, how much activity there's been? Because this is something that kind of shows up differently, right? It's in market. You can't necessarily see it in the Nielsen data. So I was curious if you could talk about couponing? And then also just looking specifically at laundry in the data, it does show price per EQ is down low single digits. So even though, like you said, the percentage that's on promotion is low, just curious broadly about pricing in the market and if the depth is worth talking about.
Richard Dierker: Yes. I'll take the second one first. When you look at EQ, that really means wash loads and so as you have consumers trade up to larger sizes, as you have channels like club that are growing faster than that means the larger sizes are doing more sales, which then translates into a lower price per EQ, and that's part of it. And then if you go to a few of the different retailers you see, not just us, but also others having some rollbacks at mass. But in general, I think the biggest thing is the trend on larger sizes, which is channel-specific in part, but also pretty broad-based. The second one on couponing. We've been very consistent on couponing like year-over-year, we're flat on couponing. I think in general, we believe that our competitors link to couponing a heck of a lot more than we do. And you're right, that's not shown in Nielsen, the way you kind of look at that is maybe through numerator or what receipts are actually being scanned really maybe the best way to look at that. But usually, our competitors rely more heavily on couponing than we do.
Lauren Lieberman: And that's the case in laundry as well?
Richard Dierker: Yes.
Lauren Lieberman: Okay.
Lee McChesney: We obviously, a lot of questions here on discounting couponing. We've shared what we're doing here is measures depth, breadth, all of that. And I guess I'll bring you back to gross margins. Gross margins are doing what they're doing, which speaks to, obviously, all these elements here. So I think there's a good story. We've got -- we're doing things the right way here.
Operator: Your next question comes from the line of Robert Moskow with TD Cowen.
Robert Moskow: Thanks for the question. I think the messaging here is that despite a lot of challenges for the consumer, your categories have been pretty stable in the aggregate -- running around 2%. And adjusting for some things, you're gaining share. But when I look at your retail tracking data, at least in my metrics, things do get weaker in October, can I assume that, that's a comparison to last year's port strike? And maybe just refresh me on why that influenced consumer spending in your categories rather than just timing of shipments?
Richard Dierker: Yes, Robert. Yes, in my prepared remarks, I kind of talked a little bit about October. But remember, we looked it up last night. We believe that for the category and for Church & Dwight will be a little bit negative in October. A year ago, the port strike had 11% growth in 1 week for the categories. That meant a month was around 5%. And that wasn't really real. That was pantry loading, probably massive pantry loading that was happening probably more so in other categories as well. So we think that's pretty clear.
Robert Moskow: Sure. I understand. But by November and December, I would imagine the pantry loading would be kind of over. So I guess I'm just unclear like how that would affect your overall results in a quarter and then when I look at your quarterly results last year, it was very stable. Third quarter, fourth quarter were exactly the same. So it -- is it that much of a tough comparison to a year ago despite that?
Richard Dierker: Yes. It's -- we can get into a little bit more detail. It's 3 things, okay? So the port strike that happened in October, if you recall, there was a threatened port strike, I believe, in early January that also had an impact. So -- and then you got to go figure out how much pantry loading really happened. Was it 1 unit? Was it 2 units? Was it 3 units? And then you got to go figure out for the category, how long that normal usage goes through. But I would tell you, October was extremely elevated a year ago. Like when categories are up 5% a year ago. That's not normal. So that's one. The second thing we said in the release was vitamin business for us in Q4 when it's down in consumption in the low 20s. Then Q4 is a seasonal business for vitamins and so it just has a little bit more of an impact. And then the third thing that I think Lee mentioned was just our international business in Q4 a year ago had a bit higher of a comp. So all those things are true, I guess, but the biggest thing for us and what I said earlier was we think the order of magnitude is really more in the port strike and some of the timing on vitamins and we don't believe there's a roll forward issue into 2026. So that's kind of how we'd button it up.
Operator: Your last question comes from the line of Kevin Grundy with BNP Paribas.
Kevin Grundy: Congrats on the good result this quarter. Two for me, if you don't mind. The first one to kind of revisit the portfolio and trade down risk and then the second one is going to be on AI. So the first one, Rick, how do you assess the portfolio today relative to, say, like the global financial crisis. And I think the view would be the Church was a big beneficiary. I would agree with that of trade-down risk. ARM & HAMMER did well. value laundry detergent did well. But it is a more premium portfolio today than it was and the brands that you've had success with like BATISTE and THERABREATH and HERO and TOUCHLAND are more premium price points. So how do you assess trade-down risk, particularly in those parts of your portfolio today? How do you sort of square that with some of the trade down that we're seeing and granted it's in household product categories, which you do tend to see a little bit more trade down. But I'd just be kind of curious to get your thoughts on that, Rick. Granted it skews higher to higher income consumers. It does offer unique benefits. But can you kind of have it both ways where the consumer is weak, but then the higher end of the portfolio are going to continue to sustain? And then I have a follow-up.
Richard Dierker: Yes. And it's a good question. Maybe we were 40-60 around the financial crisis. Now we're 60-40 and I do believe that we will do well in most any economic environment, and that's what we've kind of shown over time. Household for sure, as folks trade down. And what's been unique a little bit, Kevin, is like these premium personal care categories I would say, in some cases, are accelerating during this time. And it kind of goes back to what I was thinking about earlier, it's just to have air. There's just 2 or 3 or 4 reasons why. But the problem solution, but even the macro behind that is the high-end consumer is still doing well. And maybe it's a barbell. That's why the club class of trade continues to do well. That's why if anything, the trade down is happening a little bit in the mass and those trends look pretty good. So I would -- I kind of view it as the company is positioned to do well and good times or bad times. Yes, the portfolio shifted a little bit, but what brands you have matter more than anything. More so than the category itself on mouthwash as an example. So that's kind of my short answer. I think that there's more than 1 reason those brands are doing well, and it's a bigger tailwind than the category headwind potentially.
Kevin Grundy: Got it. Then quick follow-up is just around artificial intelligence. And what that evolution is going to mean for the CPG industry. Matt Farrell used to refer to these as the crystal ball kind of questions. But particularly on the heels of the Walmart announcement and its collaboration with OpenAI. I'd be curious to kind of get your thoughts, Rick, in a world where AI is actually going to see much, much greater levels of adoption. Do you see this evolution as a favorable development for big brands in your portfolio specifically? And relatedly, on the heels of this Walmart announcement, how do you assess the risk here that this potentially leads to a balance of power shift to retailers as they exert greater control over the virtual shelf?
Richard Dierker: Yes. I think my crystal ball would probably say our company is laser-focused on our brands. Like how do we make sure that we have brands that consumers love and through our advertising, through our marketing, through our innovation. If we do those things well, then that is an enabler for how we show up online. And at the end of the day, recommendations in the future are going to be based on how well we're selling, how well consumers love our products, what the reviews say, what new news we have. And same way that advertising has shifted over a long period of time. We have to make sure we're nimble enough and fast enough to adjust with speed to the new way of playing the game. And we've shown that we can do that. When Matt and I talked back in 2016, we were 2% of sales for e-com, now we're 23%. We have adjusted and changed the way we play the game. And so that is a competitive advantage for us versus our larger peer set, in my opinion. And so we have to make sure that we're on the forefront of that. And I have no doubt that we will.
Operator: There are no further questions at this time. I'd now like to turn the call over to Mr. Rick Dierker for closing remarks. Please go ahead.
Richard Dierker: Okay. Thanks, Eric. Well, thank you for all the questions, and look forward to getting together next year if we talk about our go-forward strategy on Investor Day. And thank you and see you in January.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.